Operator: Good day ladies and gentlemen, and welcome to the Gladstone Commercial Corporation's Second Quarter Earnings Ended June 30, 2016, Earnings Call and Webcast. At this time, all participant lines are in a listen-only mode to reduce background noise. But later we will be holding a question-and-answer session after the prepared remarks and instructions will follow at that time. [Operator Instructions]. As a reminder, today's conference call is being recorded. I would now like to introduce your first speaker for today, David Gladstone. You have the floor sir.
David Gladstone: Thank you, Andrew. Nice introduction and we thank all of you for calling in. We always enjoy these times that we have together on the phone and wish we had more times to talk to you. If you are ever in the Washington D.C. area, we're located in the suburb called McLean Virginia and you have an open invitation to stop by and see us if you're here in this area. You will see a great team at work; we have over 60 members of the team now. So it's a strong Growing Group. We'll now hear from Michael LiCalsi, our General Counsel & Secretary. Michael is also the President of Gladstone Administration which serves as the Administrator to all of the Gladstone Funds and related companies as well. He will make a brief announcement regarding some of the legal and regulatory matters concerning this call and report. Mike?
Michael LiCalsi: Good morning, everyone. The report you're about to hear may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934, including statements with regard to the company's future performance and these forward-looking statements involve certain risks and uncertainties that are based on our current plans, which we believe to be reasonable. And there are many factors that may cause our actual results to be materially different from any future results expressed or implied by these forward-looking statements, include all the Risk Factors included in our Forms 10-K and 10-Q that we filed with the SEC. And they can be found on our website www.gladstonecommercial.com and on the SEC's website www.sec.gov. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. And in our report today, we also plan to talk about funds from operation, or FFO. FFO is a non-GAAP accounting term, defined as net income excluding the gains or losses from the sale of real estate and any impairment losses from the property plus depreciation and amortization of real estate assets. The National Association of REITs has endorsed FFO as one of the non-accounting standards that we can use in discussion of REITs. Now please see our Form 10-Q, filed yesterday with the SEC, and our financial statements for a detailed description of FFO. And today we also plan to discuss core FFO, which is generally FFO adjusted for property acquisition costs and other non-recurring expenses. And we believe this is a better indication of the operating results of our portfolio and allows better comparability of period-over-period performance. And to stay up-to-date on our fund, as well as all the other Gladstone publicly traded funds, you can sign up on our website to get e-mail updates on the latest news. You can also follow us on Twitter, username, GladstoneComps; and on Facebook, keyword, The Gladstone Companies. Finally you can visit our general website to see more information www.gladstone.com. And the presentation today is an overview. So we ask that you read our Press Release issued yesterday, and also review our Form 10-Q for the quarter ended June 30, 2016. Please also see the financial supplement which provides further detail on our portfolio and our results of operations. These can all be found on our newly redesigned website gladstonecommercial.com. Now we will begin today's presentation by hearing from Gladstone Commercial's President, Bob Cutlip.
Bob Cutlip: Thanks, Michael. Good morning everyone. During the second quarter we acquired a $17 million property located in Salt Lake City, Utah; raised $25 million in a direct placement of preferred equity; and implemented an ATM program on this new preferred; executed two new leases with tenants are partially vacant Maple Heights, Ohio, and Minneapolis, Minnesota properties; sold a non-core property located in Dayton, Ohio; executed contracts to sell our properties located in Angola, Indiana, Rock Falls, Illinois, and Montgomery, Alabama; refinanced $26.2 million of maturing mortgage debt at lower interest rates; and redesigned our website to provide better information to our investors, analysts, investment sales and leasing brokers; and included a new section in our preferred stock. Subsequent to the end of the quarter we also announced the redemption of the remaining $13.5 million of our outstanding Series C in August. We had another excellent quarter as we executed new leases to increase the occupancy of our portfolio to 98.5%. We also put another high performing asset in our portfolio. We continue to be pleased with our activity and have a healthy pipeline of acquisition candidates totaling about $300 million. Our acquisitions team has spent considerable time over the past several months connecting with our peers to determine the direction of the market. Interest rate volatility, a perceive global economic slowdown, and an energy glut raised our concerns. Our findings reflect that the largest net lease peers have noted that they will be reducing their net acquisitions volume this year or even pausing due to the belief that valuations appear to be too high. These thoughts, as well as as reduced year-to-date investment volumes compared to 2015, as reported by market research firms, could be indicating that cap rates may expand in the months ahead. Our team is going to continue to monitor market conditions and will actively investigate opportunities, and we will acquire properties when the tenant credit, location, and asset returns are accretive and promote our measured growth strategy. Now for some details for the quarter. During the quarter ended June 30, we acquired a 107,000 square foot multi-storey office building located in Salt Lake City. The purchase price was $17 million and the average cap rate over the lease term is 8.4% very accretive for our shareholders. Convergys Corporation occupies 100% of the space and is the second largest provider of business process outsourcing solutions in the U.S. Our acquisitions team has been placing significant focus on acquiring properties in growth markets. The hallmark of our continuing high occupancy remains and is going to continue remain thorough tenant credit underwriting and the mission critical nature of the property. Location is also important. In closing transactions in growth market leads to properties in land constrained locations overtime and hopefully subsequent increases in property values that will benefit our shareholders. Over the past two years, to promote this strategy, we've invested in Phoenix, Salt Lake City twice, Denver three times, Dallas four times, Austin, Atlanta twice, Indianapolis, Columbus Ohio twice, and Minneapolis. The last four acquisitions have been in Atlanta and Salt Lake City, two markets in which we wish to increase our concentration. Our asset management team continues to be busy leasing our available space. As noted, we increased our occupancy in our Minneapolis building by executing a new lease for 13,000 square feet bringing the occupancy to about 80% in the property. We also increased the occupancy in our Maple Heights, Ohio, warehouse facility by executing a new lease for 40,000 square feet bringing that occupancy to about 93%. We only have one vacant property remaining today and that's our property in Eastern Massachusetts an 86,000 square foot freezer cooler industrial facility, and we have three full building prospects at this time for that property. We have successfully extended all of our leases that were originally set to expire in 2016 with the exception of a 2,900 square foot office space in our multitenant office property in Indianapolis. In total for 2015 and 2016, we successfully concluded 16 of 18 lease expirations, and in doing so transitioned to really a full service real estate operating company reflecting an ability to execute successfully in every phase of the property's lifecycle. My many thanks to our asset management, acquisition, and capital teams working together to achieve these successes. We sold one property and have four additional properties under contract for sale as part of our capital recycling program. These assets are considered non-core in our efforts to move out smaller single asset markets and redeploy the proceeds in our target locations. The better news for our overall growth strategy is that only 4% of forecast rental income is expiring over the next four years through 2019 during a period that we anticipate the industry is going to experience headwinds at some point. So our cash rents will be stable and growing and our occupancy should remain high even if economic conditions deteriorate. This is an important fact for our shareholders, as the majority of our peers have a minimum of 25% and as high as 54% of their leases expiring during this same period. The majority of our capital availability will be used to pursue growth opportunities because we do not anticipate meeting significant capital for tenant improvements and leasing commissions to retain tenants or to release vacant space or to fund operating deficits. Danielle, our CFO, is going to expand upon our refinancing activities but I think it's important to note that our refinancings continue to lower our loan-to-value, lower our annual interest costs, and the amount of debt maturing reduces through 2017. So in summary, we acquired another property in Salt Lake City, leased vacant square footage, refinanced maturing mortgage debt at lower interest rates, and refinanced maturing term debt through lower cost preferred. Organizationally, we completed the redesign of our website which provides greater information for our investors, analysts, investment sales, and leasing professionals. And our team continues to have a strong pipeline of acquisition candidates, and will adhere to our strategy of only acquiring properties in growth markets that are accretive to our operations. Now let's turn to Danielle Jones, our Chief Financial Officer, for a report on the financial results.
Danielle Jones: Thanks, Bob, good morning everybody. We continue to have a strong balance sheet as we systemically grow our assets and focus on decreasing our leverage. We have reduced our debt-to-gross asset level to 54% from 57% at the end of 2016 through refinancing maturing mortgage debt at lower leverage levels. We expect to continue this strategy over the next several years. We continue to use our line our credit to make acquisitions that we believe can be financed as longer-term mortgage debt that we believe are good additions to our unsecured property pool. Long-term mortgage debt continues to be available but at slightly higher rates than we experienced during 2015. The yield on the 10-year treasury has been very volatile despite the Federal Reserve's efforts to raise interest rates; the yield on the current 10-year treasury is 90 basis points lower than it was at the beginning of 2015. Since the beginning of 2016, the yield on the 10-year treasury has been as high as 2.2% and as low as 1.3%. This volatility has been driven by global uncertainty, questions regarding the strength of the economy, and the Federal Reserve Bank's stated desire to increase interest rates. In response to the volatility, CMBS lenders became a less reliable source of mortgage financing as they increase the spread to which they were willing to make loans. The banks have also widened their spreads by 10 to 25 basis points and the life insurance companies have reintroduced for us. Banks in particular are trying to move into the vacuum left by the CMBS lenders. The CMBS loan originations down by more than 40% year-to-date, the life insurance companies and banks have become more selective in determining which properties they will finance. However interest rate still remain attractively low and we continue to actively try to match our acquisitions of cost effective mortgages. Depending on several factors including the tenants credit rate and property type location, the terms of the lease leverage and the amount and term of the loan we are generally seeing fixed interest rates ranging from 4.6% to about 5%. To this end, we repaid $26.2 million of maturing mortgage debt this quarter by refinancing $9.5 million with new variable rate mortgage debt with an interest rate cap on one of these properties and two other previously unsecured properties and the remainder was borrowings under a line of credit and cash on hand. The weighted average interest rate on the maturing debt was 6.3% and the rate on the new mortgage debt is about 3.2% today, over a 3% decrease in the mortgage debt that was repaid. Over the past 18 months we have refinanced $105 million of debt with $53.1 million of new debt at a new weighted average interest rate of 2.84%. Prior to the refinancing mortgages had a weighted average interest rate of 5.83%. The combined refinancing will reduce our annual interest expense by approximately $3.1 million and that is straight to the bottom-line. Looking at our upcoming maturities we have remaining balloon principal payments on two mortgages of $21 million payable in the fourth quarter of 2016. We anticipate being able to refinance these loans with a combination of new mortgage debt and equity. The weighted average interest rate on the 2016 debt is 4.54% and while our interest rates may increase, we still expect to achieve at least 100 basis point interest rate reduction when we refinance these loans. We also have $61 million of mortgage debt maturing in 2017. So weighted average interest rate on this debt is 6.1%, so again we expect to be able to achieve better rates that will go straight to the bottom-line. We are focused on our strategy of lowering our leverage by reducing our weighted average loan to value on both newly issued debt and refinanced debt. We have decreased our loan to value from a high in the mid 60s in 2009 to 54% today. Turning to equity. We raised, as Bob mentioned, about $25 million of the 7% preferred equity in our new Series C. We used the funds to redeem $25 million of our 7.125% Series C term preferred that was maturing in January of 2017. We have announced that we will redeem the remaining $13.5 million of the Series C term preferred in mid-August. We also put an ATM program in place on the Series C. We now have ATM programs on our common stock and our preferred stock. We raised both common and preferred equity during the quarter for an aggregate of $8.7 million under both of these programs. We use these funds for our new acquisition, refinancings, and building and tenant improvement at certain of our property. As of today our available liquidity is approximately $31.6 million comprised of $3 million in cash and an available borrowing capacity of $28.6 million under our line of credit. With our current availability and access to our ATM programs we have enough availability to fund our current operations, deals in our pipeline, and any known upcoming improvements at our property. Now I'll discuss the operating results for the quarter. All per share numbers are referenced are fully diluted weighted average common shares. Core FFO available to common stockholders was $9.3 million or $0.39 per share for the quarter which increased slightly from the first quarter. Our results were impacted by an increase in rental revenues from releasing vacant space coupled with lower property operating expenses from increased occupancy and a decrease in interest expense from the lower interest rates achieved in our refinancings. This was partially offset by an increase in preferred dividends paid during the quarter as the Series D preferred rates closed at the end of May and the Series C preferred shares were not redeemed until end of June. We encourage you to also review our quarterly financial supplement posted on our website under presentations which provides more detailed financial and portfolio information for the quarter. While we continue to have challenges as we work on debt maturities and the headwinds from the global macro economic conditions, we believe we have the right team in plan and place to reposition and continue our growth activities. We are confident of the remainder this year and into 2017 we will be successful as we continue to increase our asset and equity base and decrease our leverage. We are focused on maintaining our high occupancy. And now I'll turn the program back over to David.
David Gladstone: Okay, thank you very much. Good report, Danielle, good ones from Bob Cutlip and Michael LiCalsi too. Just to reiterate in summary the real big things that happened this quarter we acquired a new property for $17 million, raised $25 million in new permanent preferred and redeemed $25 million of term preferred stock. On leasing vacant spaces we continue to increase the overall occupancy, we renewed all of the 2016 leases except for small office lease leaving only about 4% of the forecasted rents expiring until the beginning of 2020. We refinance maturing loans at lower interest rates and positioned ourselves for more growth. We've continued to add quality real estate to the portfolio and sure if the existing properties. As many of you know, we didn't cut the monthly cash distribution during the recession that was quite a success story as we watch many of the good companies that cut their distributions, most of them have never recovered from the dividend that they had back at the original level. We're on a great position not to have problems if the economy hits the skids again. Here is what we are doing today. We need to increase the common stock market capitalization in order to increase the trading volume, to give some of the institutional investors who want to buy a lot of the stock the ability to do that. The institutional buyers always want to know the number of shares outstanding, so if they buy $10 million to $20 million worth of our stock then they know there will be enough liquidity, if they want to sell. We still don't have enough shares outstanding to give them that confidence. However we've been consistently building our assets and equity base and we've actually doubled the size in the last five years. With this growth, we hope to see more buyers coming into the stock and should hopefully help increase the price to lower cost of capital for us; that's a key thing that we've always been working for is getting the stock price back up. We raised more preferred stock in the Series D that has a 7% yield and we have a new webpage at www.gladstonecommercial.com that explains the preferred. We cannot redeem this new preferred for at least five years and we intend to reduce our Series C preferred to zero in August. Continue to have a promising list of potential quality properties that we're interested in acquiring. Because of this list of properties we expect to continue the growth in assets during 2016. With the increase of properties means much more diversification and we believe a better earnings and please know that the price that you have to pay today to get good buildings with good tenants is still very high and they yield very low, so we have to be very careful and make sure we don't reach for a transaction. We are focusing our efforts on good long-term properties. We put financing in place to match those long-term leases. We would love to lock in the long-term financing and that allows us during the 2016 and 2020 time period, we only have 4% of the forecasted rents coming in due and we have ample time to rent those up during the next four years. I forecast we will eventually get to 100%. We're much more optimistic today that things are going to be positive to us. We feel really good about the future, much of the industrial base and the businesses that rent industrial and office properties like the ones we have remain steady and most of them are paying their rents. And as you know, we have a terrific credit underwriting group that underwrites our tenants and considering the track record as the tenant paying the rent, I think the future is bright. This is a strong underwriting team that's kept us more than 96% occupied since 2003. While we're optimistic of our company, we will be fine in the future I think. Bob and I will continue to be cautious in our acquisitions as we've done in the past years. We made it through the last recession about cutting the dividend and having a lot of problems from our tenants and if another recession is lurking on the horizon, I think our portfolio will continue to stand up against that test. Distributions earlier this month, the Board voted to maintain monthly distribution at $0.125 per common share for July, August, and September for the annual run rate of $1.50 per year. This is a great attractive rate for well managed REIT like ours, we now paid 138 consecutive common stock cash distributions and we went through the recession without cutting any of our distributions and that's now more than 13 years and that's just a wonderful track record. Because the real estate can be depreciated, we're able to shelter the income of the company and return means that we have a return of capital of last year was 79% on the common stock, this is a tax friendly stock, if you want to put it in your own personal account rather than our tax deferred like an IRA or KEOGH. The return of capital is mainly due to the depreciation of the real estate assets and other items and it's caused earnings to remain low after your subtract the depreciation. That's why we always talk about core FFO because that's adding back the real estate depreciation. After all depreciation of a building is really a fiction sense at the end of the depreciation period, the building is still standing. So if you own stock in a normal time and account as opposed to having in an IRA or retirement plan, you don't pay any taxes on that part that's sheltered by the deprecation as that's considered a return on capital. IRA, as you all know, return on capital does reduce your cost basis in the stock which may result in a larger capital gains tax when you sell the stock. The stock closed yesterday at $17.80. The distribution yield is about 8.45% now, tremendous yield, NAREITs are trading at much lower yields now, the triple net REIT business which we are considered part of is at 4.7%. So if our stock is trading at that yield, our stock will be priced at over $31 per share. So there is a lot of room for expansion of the stock-based on the triple net REIT stock prices. Even if it moved down to 6% that would have the stock price at $25 and we have been over $20 in the past. My guess is that as investors continue to discover our company and we will see the price of the stock increase in the yield in line with the other REITs. There is simply no reason that I can think of for REIT to trade in such a high yield given the track record and the past lack of leases coming due. I know analysts always talk about, we are externally managed. However being externally managed allows us to access a team of credit underwriters unlike any other managed REIT out there, high occupancy level is a testament to the access we have to the credit underwriters, and we have also performed an analysis of the cost to operate REITs and we are no higher than any of the other REITs whether it's internally managed or externally managed. And folks we've been decreasing our leverage every quarter, you think with the strength that we have, we wouldn't -- we would want to leverage up as much as possible but we are lowering our leverage, we're now closing in on 50% leverage that's about $1 of equity for outstanding for all the buildings that we own. And given the track record of steady income for the last 13 years that amount of leverage to me is very conservative. Our Board will vote in mid-October during the regular scheduled quarterly board meeting on the declaration of the monthly distribution to our October, November, and December and so get ready for that. Now we will have some questions. So Andrew if you will come on, we will get some questions from our stockholders and analysts for this wonderful REIT.
Operator: [Operator Instructions]. We will be taking our first question from the line of John Roberts with Hilliard Lyons. Your line is open.
John Roberts: Just wanted to get a little more color on sort of your expect -- I think Bob made some $300 million in potential acquisitions sort of in your pipeline. I'm just trying to get a better feel on what amount you anticipate potentially closing for the remainder of the year?
David Gladstone: Okay, Bob he is going to take over that.
Bob Cutlip: Hey, John.
John Roberts: Hey, Bob.
Bob Cutlip: How are you doing?
John Roberts: I'm going great, how are you?
Bob Cutlip: Pretty good, really pretty good. You know I'm always optimistic but like right now we have one property that is in due diligence. We have and that's about between $22 million and $24 million. We have two other properties in letter of intent stage that is in excess of $30 million. One of those is what I would consider to be a done deal because it's an expansion of an existing facility that we have next Mercedes-Benz Assembly plant in Alabama and we have another property in letter of intent stage in Phoenix, Arizona, that's also in the high 20s. So I'm encouraged but one of the things we are finding, John, is that we were amazed [ph] on a number of properties and suddenly they're coming back to us and our leaders in the field particularly in the Mid-West and the Western region are seeing a little bit of cap rate expansion in some of the markets not all the markets but in some of the markets that we are looking at. So we are still being a little cautious but as you can see we are seeing properties a little bit higher in volumes than we've had in the past. We've averaged about $16 million to $18 million for acquisition over the past three to four years and now we are in the low to mid 20s, which is somewhat encouraging to me as we get larger. So I can't give you a full specific number on it but you can see from the pipeline beyond just the initial review we have, we have a number of assets that are looking pretty good for closing between now and probably the beginning of the fourth quarter.
John Roberts: Super. Had some great color. The other thing I just wanted to ask, you looked at any obviously your little capital constraint at this point. Are you looking at any non-traditional capital?
David Gladstone: No, John we haven't looked at anything non-traditional we either do preferred or common in terms of capital. So we don't.
John Roberts: Not looking at convert, is there anything along that line David?
David Gladstone: No, I think we can raise pretty much all the preferred we want to at this point in time at 7 and yes we could get a little bit lower price if we went to converts just haven't looked at that I think the stock is going to bounce up pretty quick.
John Roberts: Great, okay thanks.
David Gladstone: Next question?
Operator: [Operator Instructions]. We have a question from the line of John Massocca from Ladenburg Thalmann. Your line is open.
John Massocca: The question on for the series of the termed -- the series you term preferred can you give any color on how you guys plan on taking off the remainder of the balance there?
David Gladstone: Yes, we have really strong line of credit. So we are also in the marketplace with our ATM program, aftermarket program and its generating pretty good success right now on this new preferred that we have. The institutions are liking the idea that you can't pay it back or can't redeem it for five years. So we are getting pretty good transactions there and the common stock seems to be going very well. So between the common stock, the preferred stock, and our line of credit we can easily take out $13 million.
Danielle Jones: And David just add on this, John this is Danielle, we've actually already put our intent to redeem that is we're planning to redeem that on August 19 then we have current availability to go ahead and do that.
John Massocca: Okay, that makes sense. And then touching maybe more to the dispositions front, what are the plans for the proceeds or the -- or assets are currently under contract to be sold?
Bob Cutlip: Well it would be a combination of the -- of use for working capital and as David and I have talked in the past, we're getting out of these smaller markets so that we can redeploy the capital into our target markets. So for example the four properties that we have under contract right now, right now those proceeds would be used for the acquisition that we're planning in Florida and the other one that we are looking as partial anyhow and as well as one in Phoenix. So we're not in any big rush, John, because you know most of these properties we've already been through renewals, and they've been through the recession, so they are strong companies but just over time we think putting our capital in these target markets is going to improve our operating efficiencies and also over time as we do exit some of these we will be selling three to five assets which will result in cap rate compression as compared to one-off in small markets. So it's going to be a work in progress, no big rush but it would be used to be redeployed in those target replacements.
John Massocca: That makes a lot of sense. And then a quick detailed question, it seem like there is some other income that came in this quarter that was tied to the Newberry property?
David Gladstone: Danielle what is that?
Danielle Jones: So that was a tenant that vacated that property, it was some settlement income we received, there was some issues with some deferred maintenance and capital, so we reached the settlement with them. And part of it was the repairs about $800,000 for repairs and the excess of it which is what you see in the other income line was considered legal settlement income. So it's a one-time thing.
John Massocca: So that's completely one-time.
Danielle Jones: Yes.
John Massocca: That makes a lot of sense. Thank you very much everyone.
David Gladstone: Okay. Any other questions?
Operator: We have a question from the line of Larry Raiman from LDR Capital Management. Your line is open.
Larry Raiman: Thank you. Good morning and nice job on the quarter and the call. A quick question again with regards to your core portfolio, could you describe what percentage of the tenants on lease had stipulated rent bumps and do you account for that on a straight line basis. I'm just trying to get at the core portfolio growth, if no transaction activity was done, what's the embedded growth in the portfolio?
David Gladstone: Bob?
Bob Cutlip: Hey, Larry, all of ours have stipulated rents, rent growth. We have a few properties that are CPI related but most of them are between 2% and 3% and yes Danielle can may be add to this but we do account for them in a straight line basis.
Danielle Jones: Yes that's correct. They are all accounted on a straight line basis. So when transit rental income growth would be on growth from our portfolio.
Larry Raiman: So to follow-up, I appreciate that and thank you for that answer there. On a reported basis, where you're reporting core FFO and FFO that is straight line your cash flow on a comp basis could be different and could be growing where as a core may not because you already accounted for the straight line acknowledgement of that lease. Would that be fair to say?
Danielle Jones: That's fair, yes.
Larry Raiman: And may be that could be helpful for investors to see that cash flow trend in addition to the reported core and basic FFO number not just to make it too complex but it might help both the embedded cash flow growth in the portfolio.
Bob Cutlip: That's a good point Larry and in addition because we -- because we really on every deal we do, we do secured fixed rate debt and we have locked in that return and that increase in cash flow year-over-year as compared to if we had variable rate debt in a rising interest rate environment. So that's why we are very excited about the next three to four years with very few leases rolling and our cash, cash income is going to be growing year-over-year because we've locked in the debt cost.
Larry Raiman: Okay. Thank you and then just one final follow-up and I will back to the floor for anyone else. So there's a question and that is on the debt summary, just a follow-up and just you comment, you have fixed rate financing and then also variable rate financing with caps, could you describe the proportion of that breakdown fixed rate versus variable with caps?
Bob Cutlip: Danielle can we know the number?
Danielle Jones: For our total portfolio, I would say most of the variable rate is on the refinancings we have done in the past 18 months. So I would say maybe $55 million to $60 million of our total mortgage debt is variable rate but again they all have interest rate caps that caps on, it is typically LIBOR plus 2.5, 2.25 to 2.75 and then we, we put 3% interest cap on the LIBOR one there.
Larry Raiman: Okay. So will the remaining 90 -- so those $530 million of debt, about 10% is the variable rate with the cap the rest is fixed rate financing?
Danielle Jones: Yes that's ballpark number but that's correct yes.
Bob Cutlip: All right, next question?
Operator: I have no other questions in the queue at this time. But I will give one more call for questions. [Operator Instructions]. And I'm not getting any further questions; I will turn the back over to Mr. Gladstone for closing remarks.
David Gladstone: All right, thank you, Andrew, and thank you all for calling in. That's the end of this call.
Operator: Ladies and gentlemen, thank you again for your participation in today's conference. This now concludes the program. And you may all disconnect at this time. Everyone have a great day.